Operator: Hi everyone, and welcome to Etsy's Third Quarter 2021 Earnings Conference Call. I'm Deb Wasser, VP of Investor Relations and the SG Engagement, and joining me today are Josh Silverman, Chief Executive Officer, A - Rachel Glaser, Chief Financial Officer, and Gabe Radcliffe, our Director of Investor Relations. Today's prepared remarks have been prerecorded. The slide deck has also been posted to our website for your reference.  Once we are finished with Josh and Rachel's presentations, we will transition to a live video webcast, Q&A session. Questions can be submitted via this Q&A window chat displayed on your screen. Feel free to use it at any time as it will remain open throughout the entire conference. I'll be reading your questions and Gabe will help me trying to get to as many of them as we can.
Debra Wasser: Please keep in mind that our remarks today are concludes forward-looking statements related to our financial guidance and key drivers thereof. The uncertainty impacts the ongoing COVID-19 pandemic or its eventual abatement may have on our communities, business, strategy, or operating results.  The potential impact of our strategic marketing and product initiatives, our ability to integrate and benefit from our acquisitions of Depop and Elo7, and their impact on our market opportunity, and on our future consolidated financial results. And the anticipated return on our investments and their ability to drive growth. Our actual results may differ materially. Forward-looking statements involve risks and uncertainties which are described in today's earnings release, and our 10-Q filed with the SEC on August 5th 2021, and which will be updated in any future periodic reports we file with the SEC.  Any forward-looking statements that we make on this call are based on our beliefs and assumptions today, and we disclaim any obligation to update them. Also, during the call, we'll present both GAAP and non-GAAP financial measures. A reconciliation of non-GAAP to GAAP measures is included in today's earnings press release, which you can find on our IR website, along with the replay of this call. With that, I'll turn it over to Josh.
Joshua Silverman: Thanks, Deb. And good evening everyone. Etsy delivered a very strong third quarter. Last year, Etsy dramatically outperformed e-commerce industry benchmarks. Now, in 2021, we're lapping that performance with the flying colors, reinforcing the significant market share gains we've made. These great Q3 results further reflects that we're moving the needle on frequency. And that many of the millions of buyers who found or refund Etsy during the pandemic are sticking with us, and performing even better than historical cohorts. Our consolidated GMS was $3.1 billion up 17% on a year-over-year currency neutral basis.  With the core Etsy marketplace being the main driver of GMS growth for the consolidated business and responsible for the outperformance compared to our guidance, excluding masks, GMS for the Etsy standalone market place grew 24% year-over-year and 138% on a 2-year basis. This continued to strengthen our core on a 2-year basis is one of the main takeaways that we want to highlight today. Revenue grew 18% and our adjusted EBITDA margin was 33% with the sustained momentum in etsy.com's top-line growth, contributing material flow-through to the bottom line.  Etsy has truly listened to the moment to in large part to the focused investments we've made for the past four years to execute our long-term strategy. As you know, this strategy hinges on building a sustainable competitive advantage around four elements that we believe differentiate us from our competition. What we call our right to win. In Q3, we again to see significant evidence that the strategy is working, and we believe we're still just getting started.  We're investing aggressively to strengthen each element of this strategy, all to continue elevating the customer experience. And we've driven significant gains in visits, purchase frequency, and average order value. In fact, GMS per active buyer for our etsy.com marketplace was up 20% in the quarter, sustaining momentum over the past year. We've been speaking to you for a while about our focus on frequency, or better said, how we're working to position Etsy as a starting place for commerce.  We believe that there are several factors that contribute to habit forming behavior and e-commerce, and move the needle on frequency. First, inspiration. Having a fun and engaging experience that keeps you coming back for more. Second, efficiency. Helping the buyer to quickly and easily get in, buy, and get out when they already know what they want. And third, reliability. Ensuring a stress-free and dependable purchase. We've invested in frequency driving initiatives in each of these three areas. And these investments are made even more impactful by our increased traffic and much larger scale.  We now have a more slots and more product teams focused on frequency than ever before. We know that changing habits takes time and its early days for this work. But we're seeing very encouraging signs of progress. Here are a few examples of our frequency initiatives. We're investing in multiple areas focused on driving buyer inspiration, engaging buyers early in their life cycle and bringing them back to Etsy. For example, our new personalized onboarding, which you can see in the image on the left, allows us the buyer to engage with Etsy to discover new trends and styles, while giving us insights into their tastes and preferences.  This new customer journey has driven increases in repeat visits and purchase frequency. We've also had great success with our updates tab, which prompts buyer actions such as [Indiscernible] and in turn, helps us to improve the relevancy of their Etsy news feed. And we're leveraging machine learning to personalize the updates feed for each user. These initiatives collectively have enabled us to have a deeper understanding of our buyers, which we then used to segment and target them with relevant content on and off of Etsy.  Many of our visits are from buyers for on a discovery journey, and there's so much more we can do to make this experience more fun and inspiring. In the past, Etsy recommendations have often felt like a rearview mirror based on things you've recently bought or search for. Today, we're investing aggressively in machine learning tools attempting to understand your tastes and preferences in order to anticipate and inspire your next purchase. We want to make Etsy feel truly made for you. For those buyers on a specific shopping mission, we're focused on driving efficiency, a fast and easy shopping experience.  During the third quarter, we launched real-time personalization, which leverages in session data about our buyers tastes and preferences. To help them to find what they're looking for more quickly and easily. With the goal of ultimately making shopping on Etsy feel like having a personal shopper. For example, shown on slide 6, a user first searches for leather accessories, and later in the session enters a search for wallets. We now incorporate the prior in session search and prioritize results for leather wallet, knowing of the buyers previously stated preference for leather.  This can be especially relevant from time-saving when you're shopping for multiple items that have something in common, shared theme style or preference. Turning to slide seven, we entered 2021 with a strong focus on making Etsy a more reliable place to shop. While our competitors invest capital, building out logistics systems designed to ship one-to-many. We believe that our massive peer-to-peer fulfillment ecosystem is a core part of building Etsy's sustainable competitive advantage. We'll likely never promise to deliver every item on Etsy in 2 days or less. It's not what we're about. But we do think it's very important that we set clear expectations for when an item will arrive the end reliably live up to those expectations.  And we're doing a far better job of that. For example, we talked about estimated delivery dates on our last call and we continue to make progress. Looking at the left side of the slide, you can see that as recently as January of this year, we couldn't tell our buyers when an item would arrive on nearly 25% of U.S. listings. And now in time for the holiday season, nearly 100% of U.S. listings show an estimated delivery date. This year, we've also markedly improved the accuracy of estimated delivery dates we provide to buyers while prompting sellers to ship on time.  Cutting in half the number of shipments that arrive past their estimated delivery date is shown on the right. In addition to our fulfillment goals, our Star Seller program launched in July, wants to motivate sellers to deliver exceptional customer service, thereby creating a race to the top, which elevates the shopping experience and enhances reliability for buyers. In just 90 days, we've already seen the appeal of earning a Star Seller badge alter seller behavior, delivering meaningful improvements to several key customer service metrics critical buyers.  For example, a percentage of buyer messages that got to response within 24 hours, increased by 600 basis points in the 2 months post-launch of our seller -- Star Seller initiative. And there's real tangible value for our Star Sellers, the September month-over-month repeat purchase rate or RPR for Star Sellers was 25% higher than the RPR for non-Star Sellers. We also recently launched a preview version of our new Sell on Etsy app. An area, we haven't invested in for a while and it's trending positively in salary engagement. We mentioned our buy-on Etsy App on the last earnings call. And it's great to see this work continuing to pay dividends.  We're driving buyers to the app at a higher rate than ever before. We believe there's no better place to experience our improved customer journeys than the app, which is why we've been aggressively promoting it to buyers. We've seen a 36% increase in app downloads year-to-date. And it surpassed mobile web GMS share, now making the app the most used mobile channel for purchases on Etsy. Once buyers’ transition to the app, their engagement and frequency are higher, relative to our other platforms. Ultimately, as App usage increases, we can begin to inspire our cross-category browsing earlier in the buyer journey, which has historically led to increased frequency and retention. Moving on from frequency.  As you know, we often talk about our impact initiatives being part and parcel of our business strategy. What I would like to mention this quarter is tied to our efforts to lower our carbon footprint. In September, we launched an exciting sustainable packaging initiative. Etsy now offers planet friendly packaging made from responsibly sourced and 100% recycled materials. To enable U.S sellers, the majority of whom believe it's important to run an environmentally friendly business to join us in reducing the environmental impact from e-commerce.  This initiative is not just about helping us to achieve our goal to be net zero by 2030. We know that consumers care about the impact of their purchases. In fact, 90% of Etsy's U.S. buyers have told us that they care about sustainability. We have a lot of conviction that an initiative like this can drive business growth. So, we'll be highlighting it in the buyer experience with a focus on driving conversion and loyalty [Indiscernible]. We're still in the early days of our journey to help customers understand the positive impact they can make when they shop on Etsy.  Turning to our marketing initiatives. We've invested in creative new approaches to broaden the global reach of Etsy's brand. One great example of our team's innovation is the exciting launch of the Etsy house, our first ever interactive augmented reality experience that allows buyers to shop a digital home filled with curated Etsy items. We see this as a beautiful, powerful way to showcase the breadth and depth of high-quality items on Etsy, is one more example of how we're evolving the perception of our brand so that buyers think of us not just for the cushion, but also for the cash.  And while I don't have time to mention them all, other examples of novel approaches we're taking to attract new audiences and drive top-of-mind awareness, frequency and loyalty include testing, bus and train odds in London, as the city coming back to life. Mail focus brand campaigns in the U.S. the replacements on ESPN and the history channel, not just Hallmark and HGTV, and marketing partnerships with leading consumer brands.  We've kicked off an exciting holiday season on Etsy. With our product development initiatives, improved user experience and multichannel full funnel marketing campaigns, we believe will once again make Etsy a meaningfully better place to shop for the holidays. We've been encouraging buyers to start shopping earlier than last year. And are leaning into gift guides and personalized shopping missions, and we're creating localized experiences in our key geographies outside the U.S. One initiative we're really excited about is our new gift finder future.  It's fun and interactive way for us to help you find surprising and delightful gifts tailored exactly to the interest and taste of the recipient. A uniquely Etsy way to help you get to the good stuff from among our almost 100 million items. We'll continue to reinforce what is different and special about Etsy during the holiday season through many channels, including TV and digital video, with our new Give More Than Gift campaign. Here's a 30-second spot that just started running in the U.S. this week, and you'll also see us on air in the UK and Germany this holiday season.  [Indiscernible] [Indiscernible] Turning to our house of brands, we've identified meaningful areas where we can share knowledge and expertise as we work to accelerate growth in Depop and Elo7. In fact, these initiatives will sound very familiar to our playbook for etsy.com and Reefer. Maria and Colago (ph.), the CEO's of Depop and Elo7, and their teams are concentrating on conversion rate optimization to increase the value of a visit. For example, things like signals and nudges, and search relevancy. Another key focus area for Depop is laying the foundation to invest profitably in performance marketing with improved LTV attribution models and better MarTech.  And a top priority for Elo7 is to lower shipping costs through expanded carrier relationships. The Reverb team continues to invest in platform engagement, optimizing conversion rate, improving the user experience, advertising, and driving international growth. I've always said that the important thing is to keep main thing the main thing. And for our subsidiaries, the main things are the same things as for Etsy. In conclusion, it's gratifying to see how shoppers have loved the experience they've had in Etsy and are coming back for more.  Even in a world of greatly expanded choice. Etsy is getting better as it gets bigger. As fast as e-commerce has grown over the past 18 months, we have grown substantially faster, indicating that we're gaining and we're expanding our TAM with depth across many categories and geographies. We're moving in a different direction than commoditized marketplaces and have more conviction than ever to invest with discipline in what we see as a multi-trillion-dollar market opportunity. And to strengthen our positioning for further growth in 2022 and beyond.  Before I turn the call over to Rachel, I wanted to welcome our two recently announced board members and Andy Ballard and Marla Blow, who bring great expertise to Etsy. I couldn't be more excited to have them joining our board. I also want to take a moment to thank our incredible global team for their efforts to make the year-to-date outstanding. We've accomplished so much, and it's particularly heartening given the continued uncertainty and all of our lives. With that here's Rachel.
Rachel Glaser: Thanks, Josh. And thank you to everyone for joining us on our call. My commentary today will cover consolidated results, key drivers of performance and Etsy marketplace standalone results were appropriate. As a reminder, Weaver, Depop and Elo7 are all reflected in our consolidated financial results and KPIs for the third quarter. Against the backdrop of continuing volatility and uncertainty, Etsy CMS outperformed our expectations in the third quarter. And we see notable stability with significantly less impact from reopening dynamics than we had been anticipating.  As we often say, we love our marketplace model for its capital light structure, with no logistics or warehousing, low infrastructure costs, the distributed nature of our sellers the diversity of their products, which offers significant reach and depth to satisfy increasing global demand. This model is proving to be resilient in today's economy as constraints on the global supply of goods increase and create supply chain bottlenecks and cost escalation in fulfillment. Etsy has unique positioning with over 5 million Etsy marketplace sellers distributed around the world. Most businesses [Indiscernible] and working from their homes.  Further, over 90% of U.S Etsy marketplace sellers tell us that they source the materials locally and have limited overhead. As a result, we believe Etsy sellers stand ready-to-serve the world in ways many others can't. So how did this drive our results in the quarter? On a consolidated basis Etsy's third quarter GMS grew 18% year-over-year to 3.1 billion. Revenue grew 18% year-over-year to 532 million and adjusted EBITDA was $174 million with a margin of about 33%. Excluding the acquisitions of Depop and Elo7, but inclusive are Reverb per our guidance. Take rate was 17.5% and adjusted EBITDA margin was approximately 36%.  The primary driver for the significant [Indiscernible] in adjusted EBITDA margin was sustained momentum in the Etsy marketplace's top-line growth, contributing significant flow-through to profitability. The majority of Etsy's GMS is derived organically. This quarter representing 83% of total GMS. We plan to provide you with GMS and select KPIs for our subsidiary businesses on an annual basis, so you will be able to track the success of our house of brands portfolio companies over time. But we do not plan to provide quarterly details.  The Etsy marketplace remains the vast majority of our business. Reverb, Depop and Elo7 collectively represented approximately 12% of Q3 consolidated GMS as Elo7 closed on July 2nd and Depop closed on July 12th. Integration is going well, and our teams are collaboratively developing product and operating plans to drive future growth and profitability improvements. Our 2 new subsidiaries are experiencing slightly different market conditions at present. Depop is facing reopening headwinds similar to other e-commerce players, particularly as it compares to its enormous 2020 growth.  And Elo7 has begun to see improved conditions in the Brazilian market toward the tail end of the quarter as more of the population became vaccinated. Last but not least, Reverb continues to outperform the musical instruments industry on a 2-year your basis. My next few slides will focus on the performance of the Etsy marketplace. During the third quarter of 2021, GMS grew 12% year-over-year, 24% year-over-year, excluding face masks and the take rate was 18%.  GMS was underpinned by continued strength in our top 6 categories, led by homewares and home furnishings, our largest and fastest-growing category on a trailing 12-month basis, jewelry and accessories and apparel. Fall and Halloween themes drove buyer demand in Q3, as there was a notable uptick in seasonal home decor such as ornaments and seasonal accent items. Halloween also drove our apparel category as it is an annual purchase occasion for many of our repeat buyers.  When you look at the monthly performance fee for the Etsy marketplace, excluding masks strength Q3 shown on the right of this slide, July 2 year GMs growth was 138%. August was also 138% and September slightly accelerated to 139%. It was more stable than we had anticipated when we set guidance in early August. At that time, it was reasonable to expect that reopening trends would have had a more material impact to online shopping behavior and Etsy's performance in the third quarter.  While we don't yet have full Q3 data for e-commerce growth, on the left side of this slide, we've mapped our 2-year performance to an e-commerce benchmark, highlighting continued share gains. We've also continued to track the impact of face masks on our business and provide transparency around that. While face mask did gain some momentum in certain regions at specific times during the quarter due to changing COVID-19 guidelines. Overall, they represented less than 2% of Etsy marketplace GMS in the quarter. In Q3, non-mask GMS was up 138% on the two-year basis, relatively stable compared to prior quarters.  This growth was underpinned by significant growth in the UK despite all mobility restrictions being lifted in the early in the quarter. This is quite encouraging, and we believe our brand is becoming more prominent and Etsy is gaining share in our largest core geography outside of the U.S Consolidated Q3 revenue was again driven by growth in both marketplace and services revenue. With Etsy ads, GMS volume, and the incremental benefit of Depop and Elo7, being the primary drivers.  The average take rate for our subsidiary businesses is lower than the Etsy marketplace's and was approximately 10% in Q3, with marketplace fees representing the majority of their revenue. Transaction fee revenue, inclusive of all, fight ads grew 18% year-over-year, driven by higher GMS from frequency and average order value. In Q3, our offsite ads revenue offset nearly 40% of Etsy marketplace performance marketing spend, that contracted slightly compared to last year as we ran incrementality test and pulled back performance marketing on several chargeable channels.  The reduced marketing spends from our incrementality tests also contributed to a reduction in clicks on Etsy ads, driving a modest contraction in take rate. However, Etsy ads revenue was up 28% as ad relevance continues to drive improvements in click-through rate. Our disciplined investments in product and marketing continued to deliver strong returns and serve as a foundation for future growth, with many initiatives focused on conversion rate and frequency.  Q3 consolidated marketing spend was $132 million up 4% year-over-year, and contracted as a percentage of revenue 700 basis points sequentially. The Q3 spend reflects the pullback and performance marketing for our -- for our incrementality testing. After running successful television campaigns in the U.S., UK and Germany, we paused some campaigns for 2 to 3 weeks to measure the interaction effects between marketing channels and incrementality of our brand spend.  In the fourth quarter, we're leveraging these learnings and applying them to our placements for the new holiday creative. We're also investing in other marketing programs in the Fourth Quarter, like expanding our Etsy Coupons tool to proactively target new buyers. We'll continue to leverage our CRM capabilities to segment and target specific buyers on and off CSC platform. Q3 consolidated product development spend was $74 million up 60% year-over-year, reflecting our success in expanding our team to invest in critical areas that we believe will increase GMS.  As of the end of Q3, consolidated headcount was slightly over 2,300 up 70% year-over-year with much of this increase sitting in product development. Note that the large increase in consolidated headcount includes nearly 600 employees at Depop and Elo7. The competition for talent is fierce, but we have been pleased with our ability to attract, retain, and engage our employees in what has clearly become a very tight labor market. Similar to our marketing investments, we apply an ROI lens to product and engineering development spend.  As shown on slide 23, we have significantly grown our product and engineering headcount and feel confident that we can generate a strong ROI even as we scale us spend. I'll also note that we continue to make strategic investments that don't directly generate incremental GMS, but that are necessary to effectively run and scale the business. These investment areas include development infrastructure and support, cloud costs, trust and safety, and financing compliance. We have seen very encouraging performance in all of our Etsy marketplace buyer segments, particularly on 2-year basis, as we comp prior year pandemic-driven peaks.  In Q3, active buyers grew 30% year-over-year to 89 million stables with Q2, 2021. Repeat buyers, those who made purchases on two or more days in a 12-month period grew 35% year-over-year to 36 million. And habitual buyers, our most loyal buyers, remained our fastest-growing buyer segment up 65% for the Quarter to nearly 8 million, and up 237% on the 2-year basis. These 3 metrics for flexibility in our buyer base over the past few quarters, a signal we've all been looking for to gauge the retention of our 2020 cohort.  We're also pleased to see healthy trends and stability within our new buyer cohorts on the Etsy marketplace. We acquired 7 million new buyers in Q3. Very strong performance considering how many millions of new buyers we have attracted in the past year. And still well ahead of our pre -pandemic quarterly new buyer acquisition rate. We're seeing particular strength internationally as Etsy new buyer growth outside the U.S. expanded as a percentage of total new buyer growth driven by investment in performance marketing in several new markets.  In fact, new buyers outside of the U.S. have expanded 600 basis points year-over-year as a percentage of total new buyers. Even more noteworthy, new buyer repeat purchase rate was up 25% in 2021 compared to 2019, further evidence of our success driving frequency. When measuring the performance of the 2020 active buyer cohort, early data suggests they are all outperforming our historical cohorts as shown on Slide 26. In fact, of our 69 million active buyers in Q3, 2020, 56% made another purchase over the next 12 months. This compares to 43% for our historical cohorts, a clear improvement.  And as we've talked about in recent quarters, we've also had great success reactivating buyers. For instance, in Q3, we reengaged 4 million buyers who hadn't made a purchase in over a year. With our investments in product and marketing, we are more able to reactivate a growing buyer base. We're very encouraged to see that when compared to the historical retention of active buyers over time, this newer cohort is significantly outperforming.  GMS per active buyer on a trailing 12-month basis expanded to $132, up 20% year-over-year driven by frequency and AOV. Among our repeat buyers, we continue to see growth in the average number of purchase days per year, from 4.6 purchases in 2019 to 5.2 purchases in 2021. Including all buyer segments, buyers now buy an average of 3.1 times per year, which is up nearly 25% since 2019. Now moving to the Balance Sheet. As of 930, we had approximately $907 million in cash and cash equivalents, short and long-term investments in addition to a $200 million revolver that is currently undrawn.  Note that the acquisitions of both Depop and Elo7 close in July and are reflected on the quarter ending Balance Sheet. Also, in the quarter, we had several uses of cash that did not impact adjusted EBITDA. These include approximately $32 million of transaction expenses related to our acquisitions of Depop and Elo7. A portion of which were accrued in the prior quarter, as well as the cash tax payment of approximately $60 million. In addition, we repurchased $54 million in shares during the quarter under our board authorized repurchase plan. Our model remains highly cash-generative, asset-light, and generally convert the majority of adjusted EBITDA into free cash flow.  And now turning to our outlook. We currently estimate that our Q4 consolidated GMS, which will now include Etsy, Reverb, and a full quarter for Depop and Elo7 will be $3.9 billion to $4.1 billion, up about 12% at the midpoint compared to Q4 of last year. We expected our Q4 revenue will be $660 million to $690 million up about 10% at the midpoint versus Q4 of last year. And our adjusted EBITDA margin will be about 26%. Within our Q4 GMS guidance, we are forecasting very solid growth for the Etsy marketplace of high single-digit GMS growth, implying relatively stable two-year growth when compared to Q3.  We think this is excellent, given our year-ago performance. Drilling in a bit more on our guidance, the holiday season has kicked off early on the Etsy marketplace than we have had a strong October. We note that during the month of October, keywords that have holiday terms in them have increased nearly 100% year-over-year. Buyers are anticipating longer shipping times driven by constraints in the supply chain.  We recognize several important tailwinds, including external forecasts for strong holiday spending, consumer behavior that continues to rely on e-commerce. Now, becoming a habit, not a substitute. And entities distributed supply chain that maybe less impacted than others in this environment. On the flip side, we're also keeping an eye on several potential headwinds, including those associated with inflation, retail reopening, potential carrier constraints, and consumer confidence.  It's important to keep in mind that Etsy's November and December year-over-year comps are challenging, so we factored this into our guidance as well. Within the context of our guidance, here are a few additional items to keep in mind. Note that 4% of Etsy's marketplace GMS or $133 million was from face masks in Q4 2020. And we expect face masks to be relatively inconsequential in Q4, 2021. Also, keep in mind that Depop and Elo7, while accretive to our top-line, will be with us for a full quarter.  Meaning they will be dilutive to adjusted EBITDA margins similar to the impact they have in Q3 as we invest in their future growth. The majority of the contraction and take rates driven by our subsidiary marketplaces having a lower average take rate than Etsy standalone. Also, we expect an increase in amortization based on the allocation of purchase price for both Depop and Elo7. Refer to our 10-Q, which will be filed shortly for more details.  You will see us stepping back up our marketing spend in the fourth quarter and hiring will continue to be at an elevated pace. As a reminder, in the fourth quarter of 2020, U.S stimulus checks were a significant boost to consumer spending that is not expected to repeat this year. Stimulus checks also remained an important factor in our elevated growth in Q1 2021 and a bit in the early part of Q2. So please keep the high growth levels in mind as you model 2022. Thank you all for your time today. I will now turn the call over to Deb so we can take your questions.
Q - Debra Wasser: Hi, everyone. Thank you so much for your time. I'm going to dive right in. We have a lot of questions in the queue. So, I'm going to start with this one -- and we've got several versions of the guidance, Q4 guidance, question. I'll take this one from Laura Champine of Loop Capital. Josh, let's put this to you. Why do you expect GMS growth to decelerate despite the advantages of your mom and pop sellers -- of our mom and pop sellers may have when compared to big retailers that are facing major supply chain problems this holiday?
Joshua Silverman: Thanks Deb and thanks to all of you who asked that. I think one of the most popular question on the earnings call award. We feel great about our Q4 guide. And let me start with, as Rachel said, we're off to a strong start in October and we feel great about that. Let's remember what we're comping. Last year we had a really solid October followed by a blow the doors out, November and December. And if we go back and remember why it was a tragic reason COVID cases were spiking dramatically.  There were lockdown orders going in place in many parts of the country. Hospitals were overflowing. And as a result, people were largely trapped at home and had very few places for where to shop. And so, many people turn to Etsy, often for the first time with the lack of a lot of other options. And so, November and December last year were remarkable, and as a result, we delivered a fourth quarter at Etsy of a 111%, we're lapping a 111%, vastly outstripping most of the e-commerce.  We're off to a strong start in October, we feel great about that. The comps get a lot harder in November and in December, what we've found is that looking at our growth rate relative to 2019 is the most helpful way to look at our growth rate. Because 2020 was so volatile with so many external factors. And so, if you look at the midpoint of our guidance, what we forecasted is that Q4 is absolutely stable to Q3. And we think that's great news. In a world where there is so much more choice, where people are moving about largely freely, where hopefully COVID cases continue to decline. And people are moving about and shopping wherever they want.  They continue to choose to come back to Etsy again and again. And in fact, we're growing meaningfully over those remarkable comps from last year. So, we feel really good about the fourth quarter. Could it come in stronger even than what we've guided to? Absolutely. Could turn out that people are spending more that they're turning to Etsy, more and more than the trends we saw in October could continue in November and December. Could have turned out that October was a pull forward of the holiday. And a lot of people are spending much earlier in the holiday and November and December will turn out to be weaker months for e-commerce generally. Yes, that's possible.  We live in a world of unknown. We're giving you the best guidance we have with the information that we have. And our main focus is to make sure that our customer our buyers and our sellers have a really good experience this quarter. So that's what's under our control and that's what we're focused on it. And again, I'm so delighted that so many people had such a great experience on Etsy back when they had relatively few choices that now that they have a ton of choices, they're choosing to come back to Etsy even more often. And I think that's incredibly encouraging.
Debra Wasser: Great. Thanks, Josh, let me go to the next question is from Maria Ripps at Canaccord. So, Josh, I think this one's for you too. Can you comment on what you're seeing across the digital advertising landscape, particularly with IDFA and changes and whether that's impacted your marketing strategy?
Joshua Silverman: Yes, digital marketing has continued to be very effective. Performance market has continued to be very effective for us. I know that there's a lot of discussion about CPCs going up a lot over the marketplace and other people's margins being under pressure with that. Etsy is so long tailed, that we have felt a lot less of that than others. So, we continue to see very strong returns from performance marketing. In terms of IDFA, I would describe that as a future opportunity costs to Etsy more than a present headwind. So really where IDFA is challenging is at least for us and I think for many others, for paid app marketing efforts. It's hard to tell when you spend money to market your app, how effective that performance marketing is.  And truthfully, we've not been paying to market our app, so it's not a present headwind now, maybe we should be paying to market our App. Maybe that's something that would help us to grow even faster. We've talked about our earned efforts to market our app meeting through our own channels, through our free channels, we've been seeing great success marketing our app. So IDFA might be a headwind to the opportunity for us to be investing even more to market our app. But it hasn't been a material headwind to our present performance.
Debra Wasser: Great. Moving on, I got a question from Nick Jones at Citi. Last 12-month GMS per Active Buyer continues to increase. How should we think about how high December can get? Is a reasonable frequency level once per quarter or once per month? How are you thinking about habitual buyer growth from here? Rachel, let's start with you on that one.
Rachel Glaser: That one is good. Hi, Nick. Thanks for the question. We did say GMS per Active Buyer was up 20% in Q3 even though some of our buyer segments actually decelerated in the quarter. So, it was a really strong quarter for GMS per Active Buyer. One of the factors that drives GMS is frequency. So, more and more buyers buying more frequently, which is so heartening, so many of our cohorts are so much more choice in share of wallet.  Reminder that the average number of purchase days for all us of our buyers increased from 3.1 -- is down 3.1, and that is up from 2.5 a year ago. And then for repeat buyers it went up to 5.2, another solid increase, up from 4.6 a year ago. So, we're seeing improvement in frequency across the board.  It's still low. So, 3.1 is still far lower than we hope it can be. Your question was, could it be once per month and we see no reason to think that it couldn't be. Another important factors that habitual buyers were again, our fastest growing segment, and it grew 237% on a two-year basis and it represents about 40% of our GMS. That's really strong testimony to that the most important segment is growing fastest.
Joshua Silverman: What did I just pile on there, as you pull back and look over the long-term buyers, it looks like our consolidating their shopping behavior around fewer and fewer places. And most of those places are playing the same playbook. They're going to try to sell you commoditized products that are cheaper to buy and arrive faster. And the more people consolidate their purchases there, the more they're going to create an alternative.  And if Etsy is the leading alternative to commoditize commerce, and I think we're better positioned than others. I personally believe we're as well-positioned as any to be the leading alternative to that commoditized habit you go to all the time. I think that's a huge opportunity. And when you look at GMS per active buyer at only a $130 per year. It doesn't take much to believe that that can go up substantially.
Debra Wasser: Thanks both. Okay. The next one is from Anna Andreeva from Needham. It's 2-part question. I'm going to give the first part to Rachel. Can you talk about how we should think about seasonality of your new brands as we model out 2022 both on GMS and take rates?
Rachel Glaser: Great question. So, as you know, for Etsy Q4 is our strongest quarter for GMS. It is a little lighter on take rate, traditionally seasonally for Etsy in the fourth quarter, simply because we get so much more GMS than we get on transaction fees than we get on things like Etsy ads, which is not necessarily moving up seasonally.  Other sums are also skew a little bit higher in the fourth quarter, but not as demonstrably as Etsy does, so Depop, Elo7, and Weaver, all have slightly higher Fourth-Quarters than they do the best of the year. And not as pronounced that you would see in it seem Kevin broken out seasonality for some of those. I'll leave the answer at that.
Joshua Silverman: And just to follow on that one to the take great being a little software typically on Etsy in the fourth quarter is what I would classify as a high-class problem. Transaction rates are based on purchases and advertising is based on views. And because conversion rate historically goes up in the fourth quarter, GMS grows faster than views.  So, our sellers are happy to advertise. They're putting in a budget to advertise in their -- that's not the constraint. It's simply that GMS grows even faster than views which is another way of saying conversion rate is strong in the fourth quarter, which means buyers are finding what they like, which is going to be historic.
Debra Wasser: Great, Josh. While I have you, the second part on this question was related to the top priorities for our Depop Elo7 and the [Indiscernible] while we're there?
Joshua Silverman: Absolutely. So, the priorities across the new subsidiaries look a lot like the priorities in Etsy. So, they're very much focused on increasing conversion rate through a better customer experience, and there's a lot of opportunities that Etsy has to help them. So, we're working closely with them looking at, for example, their search technology to figure out how we can deliver more relevant search experiences, and things that streamline the path to purchase so people can go from view to purchase even faster and more easily.  And by improving the conversion rate, we improve the value of the visit. And that allows us to market more effectively, get a higher ROI. The other area that we're very focused on is helping them with performance marketing and marketing attributions so that we can lean more into performance marketing in a way that drives growth and drives value in an ROI positive way.  Specifically looking at Elo7, they're very focused right now on shipping and how do they lower the shipping costs through increased relationships with carriers in Brazil, which we think is a meaningful opportunity. And also, as Brazil hopefully emerges from the pandemic, as vaccination rates are growing. There are people get back to events and the Depop business is much more event heavy than is Etsy or the other subsidiaries.
Debra Wasser: I think you meant Elo7. But -- yeah.
Joshua Silverman: Sorry. Elo7. Yes, I'm sorry. Our Etsy or Depop or Reverb.
Debra Wasser: Great. Next one is from the [Indiscernible] from Wedbush. Can you discuss more on the app strategy? How much more room is that a growth to that channel? And how does it -- how does it help drive frequency and growth on habitual buyers, Josh, you want to start with that one.
Joshua Silverman: Yeah. I'd say our understanding of the app has evolved a bit. We've historically thought the app was the best place for experienced buyers to go. So, you start on the mobile web or on the desktop, and after you've made a couple of purchases, you migrate to the app. That works and definitely more experienced buyers are having a really good experience on actually, and we see that once they download the app, their engagement goes up in almost every metric. What's been an interesting finding over the past couple of quarters is even newer buyers seem ready to download the app and benefit by downloading the app.  So, you're seeing us lean into marketing the app even for people who maybe haven't thought before, our first-time buyers. And we're finding for those communities as well when they download the app, we are seeing more engagement from them, and it does make sense that with the app, we have more opportunities to provide triggers for them to use the app through things like badging on the app to say there's 3 or 4 updates waiting for you and then driving them to an update's tab, which tells them, here's what's happened since you left.  And then just a more dynamic and rich experience as possible in an app and not in mobile web. Due to some sense of proportionality, it was just this quarter that the app became the largest platform as measured by GMS, overtaking mobile web, and overtaking desktop. Mobile web is still the largest platform by visits. So, there's meaningful opportunities still for the app to grow, and it's something that we think we're only just beginning to really lean into and tap into its full potential.
Debra Wasser: Great. Next one is from Naved Khan at Truest. Can we talk about the impact we're seeing from the economic reopening and improving consumer mobility across our marketplaces? Josh, why don't you take that one?
Joshua Silverman: Sure. I think consumer confidence has held up better than many of us feared. Our consumer spending has held up better than many of us feared. And that's certainly reflected in Etsy's Q3 results where you saw us come in over the top of guidance based almost entirely on the strength of the core Etsy business and the organic Etsy business. So, as you know, we pulled back on performance marketing to test incrementality. And even in light of that, the organic strength of the Etsy brand in this market is holding up really, really well.  So, we're incredibly pleased by that. I would say we think it was reasonable to assume that as the world reopens. And then people had so much more choice, they would avail themselves of that choice and Etsy would face headwinds and we would see some deceleration. We expected that we think that's reasonable. It's been delightful to see that certainly relative to 2019, that hasn't been. In fact, the case and that we've seen a lot of stability in fact, GMS per active buyer growing. So, we think that's great.  As I move around the other subsidiaries, Reverb is growing on a 2-year stack substantially faster than the musical instrument industry itself, which is great. They see a little bit more variability as musical instrument stores open and close and open again. They see a little bit more variability. But as we said with the Etsy marketplace with Reverb, we also find measuring them on a 2-year stack or measuring them relative to 2019 is the easiest way to forecast that business, and we continue to see it grow substantially faster than the musical instrument industry as a whole.  So, we think that's great. Elo7 in Brazil has faced headwinds because a substantial part of that business is based on events, people buying things for birthday parties, for baby showers, or quinceaneras, or things like that. And obviously with the pandemic and lockdowns, there have been far fewer events. We did see towards the end of the third quarter. Vaccinations have been accelerating fairly rapidly in Brazil and towards the end of the third quarter, we did see the beginnings of an uptick in Elo7 as vaccination rates spread. And we think that that's really encouraging. At Depop, we also feel very good about their 2-year growth rate.  And as we have talked about, they had an exceptional 2020 with over a 100% and far faster than all of the publicly traded re-commerce peers. As we expected, they did decline in the third quarter. And that was as expected and it's because their -- their population is disproportionately teenagers. It's Gen Z. And also, they are heavily weighted towards the U.K. where our teenagers were pretty much locked at home for a substantial part of 2020 and the stay-at-home orders really began to ease in the third quarter. And so, it's not surprising that teenagers after being locked at home for a year.  Want to go out, want to be with their friends, want to go to the mall. And so, they're seeing some temporary headwinds from that. We continue to think re-commerce is an amazing space. We continue to think that apparel is the most attractive part of re-commerce, and we continue to think that Depop is the best brand in re-commerce and apparel. And again, we continue to feel great about their 2-year growth rate in the prospects for the medium and long term. And we're really excited to be partnering with all 3 of these brands to help them to unlock even more growth and achieve their full potential.
Debra Wasser: Great, thanks, Josh. Next to, I guess, two-part question from Marvin Fong at BTIG. The first part, I'll give to Rachel. You mentioned pulling back on performance marketing spend to measure incremental performance. What were some of your burnings and how do we think about this pullback in the context of how offsite ads is performing?
Rachel Glaser: So overall, it's extremely validating that even as we scaled spend significantly over the past 18 months for getting the incremental return we expected, tweaks in tunes in various channels to make them more accurate are really helpful. We do that all the time to optimize. But nothing that changes the thesis overall. So, we learn it helps us optimize our model. We might change a threshold here and there based on what we learned.  And you can see that by doing that, we actually left profitable growth on the table. So, we want to keep -- we have a very dynamic investment model and marketing where we spend up till when the last marginal dollar spend is no longer reaching our ROI thresholds, so it's very dynamic. It pulls back automatically depending on where we set the ROI threshold. And so, we'll keep investing using those learning stuff to optimize and grow the channels that we think are the most profitability.
Debra Wasser: Great. Thanks, Rachel. The second part of Marvin's question is really for -- Rachel said we're planning to increase marketing spend in Q4, but Josh, maybe you can comment a little bit about half our marketing plans in general for the fourth quarter?
Joshua Silverman: Sure. Like to what Rachel said, that it's really encouraging that as we've increased our performance marketing spend, we continue to see good returns on that. And said differently, incrementality testing can sound like, what does that really mean? But it just means if we hadn't spent the money, might those people have found us anyway. And are we truly getting additive buyers for the money we're spending.  We're constantly asking ourselves that question. I'm sure you're constantly asking it. Did you really need to spend that much on marketing? And we're asking that too and we're testing that. And we're testing at the margin, not just the overall thesis. The other thing I will add about the third quarter, is we did very little TV advertising. We were dark most of the third quarter on TV. We've just launched a brand-new campaign. We showed you one example of that campaign. And that campaign will be live for most of the fourth quarter.  So, you will see us much more aggressively on TV in the fourth quarter, you will see us lean into performance marketing. We think our brand is super relevant all the time, but it's especially relevant during the holidays, we want to make sure that we're really in front of people. And the performance marketing works really hard for people that are already down the purchase funnel and thinking about buying something. What you are seeing in our TV ads as we also want the chance to tell our story. We want to remind people why we're different. We want to make sure we have an emotional connection with people.  We want to make sure that there's organic love for the Etsy brand and people continuing to come directly to our brand and not only finding us downstream. And I will continue to point out how special we think that is of Etsy, that such a high proportion of our traffic comes direct to us and we're not downstream and dependent on other channels, which we think is a real strength. So, you should expect us to see lean -- expect us to lean more into marketing in the fourth quarter, as we typically do and as reflected in our merchant guidance.
Rachel Glaser: And I just want to add, I think Margaret had -- part of this question was asking about the impact on OSA in the third quarter from our fullback because OSA is a cooperative. And standalone leash spends on TLA, and there's a successful sale for our sellers.  We charge an incremental transaction fee to our pull back on performance marketing means if that fee also went down a bit. However, we did say that 40% of our performance marketing now is offset by [Indiscernible] So that's a very healthy program for us and still less than 2% churn from our sellers who participate in the U.S program.
Debra Wasser: Rachel, while I have you, the next question is from Jason Helfstein at OpCo. Marketing spend was pulled in quite dramatically in Q3. What did you see that gave you confidence that demand will continue given the lack of performance marketing spend?
Rachel Glaser: Thanks, Jason for the question. And so just as a reminder, the vast majority of our traffic comes to Etsy organically this quarter, I think it was 17% was paid in the rest of organic traffic. So, we have a significant amount of demand that is coming from top-of-mind awareness or our investments in other forms of marketing. Other marketing channels, like our CRM efforts, our social efforts, and our brand marketing to drive top of mind awareness.  And those things are working together. Now, we didn't pull performance marketing all the way back, so we did spend -- still send significantly in the quarter. And like I said, we -- it's a dynamic. We can just change the ROI threshold to bring the spend down and it dynamically will reduce. So, we're still feeling that we got very great traffic. In fact, added 7 million new buyers in the third quarter even though our marketing spends came down.
Debra Wasser: Okay, great. The next one is from Ed Yruma of KeyBanc. You have historically had a Q4 that ends early at Etsy compared to other retailers. How do you feel about your ability to extend the holiday season [Indiscernible] this year? Josh, have at that one.
Joshua Silverman: Great question, Ed. And one of the things we talked about in the recorded part of the call was doing a better job of setting expectations and meeting expectations. When we talk about really becoming a habit, when we talk about taking that $130 of GMS per active buyer, and making it something much, much larger. If you know that it's worry-free to shop on Etsy, you know when it's going to revive, it's going to be as expected.  I think we can gain a much, much larger share of people's wallet over time. And so, it's a really big focus of ours. And so, the fact that we have so much more EDD coverage, expected delivery day coverage. And the fact that we're doing an ever-better job of really meeting those expectations is I think really helpful. We're never going to promise to deliver things, everything on the site within 2 days or everything in the site within 24 hours.  And I think when I look at our environment and sustainability training the world to expect everything to arrive in a day. is not good for our environment and largely not necessary. So, I think a lot of people are questioning right now with all the supply chain issues. People are thinking, maybe I should shop a little earlier, and maybe I don't need to wait until the very last minute. That's likely helpful for Etsy for this year. But hopefully, I think for the long-term people starting to consider whether they really need to wait for the last minute. I think that would be good for the world and certainly also aligned with Etsy.
Debra Wasser: I know we're at time, but we have a few more that I want to try to squeeze in here. First one is from John Clatoni (ph.) from Jefferies. It's truly about the Star Seller program, and how do we think that that could drive frequency? Yes. I'll just -- questions a lot longer, but also stuff it.
Joshua Silverman: Yes. I'm super excited about Star Seller program and what it can -- what it is today. And even more important, what it can become over time. So, I want to start with seller agency. What sellers really want is they want to know what can I do to make my shop more successful. And the more transparent we can be. The better they're going to be doing their job, right? They're busy, they have relatively little time.  And so, if we can focus their efforts on these of the two or three things that are going to drive the most improvement for you. That's really helpful for them and it's something that Etsy is uniquely positioned to be able to do. And so, by giving them a few key customer service metrics to focus on, we're already seeing very meaningful improvements. We talked about, for example, responding to a buyer convo within 24 hours, we sized 600 basis point improvement across the entire marketplace on that one metric within two months of launching the program.  So that's a really good example of how this can, can really lift all boats. We do see that by surfacing of promoting the sellers that provide the most reliably good customer service. We’re going to have a better buyer experience and a better seller experience. So, the fact that sellers that are Star Sellers have a 25% higher repeat purchase rate. I think that's a factor of two things: 1. The recognition of the Star Seller giving buyers confidence, 2. The fact that these sellers are delivering consistently good customer service and earning repeat business. And the more we can get every seller to look like a Star Seller, the better off I think it is for everyone.
Debra Wasser: Great. Thanks, Josh, we are over time, so I'm going to cut it there. If anybody has any questions, you know where to find us. Thank you all so much, and we will talk to you the other Quarter. Have a happy holiday everyone.
Joshua Silverman: Thank you.
A - Rachel Glaser: Thanks, everyone.